Operator: Good day, and welcome to this Oxford's Third Quarter 2017 Earnings Conference Call. Today's conference is being recorded. At this time, I would like to turn the floor over to Ms. Anne Shoemaker for opening remarks and introductions.
Anne Shoemaker: Thank you, Shannon, and good afternoon everyone. Before we begin, I would like to remind participants that certain statements made on today's call and in the Q&A session may constitute forward-looking statements within the meaning of the federal securities laws. Forward-looking statements are not guarantees and actual results may differ materially from those expressed or implied in the forward-looking statements. Important factors that could cause actual results of operations or our financial condition to differ are discussed in our press release issued earlier today and in documents filed by us with the SEC, including the risk factors contained in our Form 10-K. We undertake no duty to update any forward-looking statements. During this call, we will be discussing certain non-GAAP financial measures. You can find a reconciliation of non-GAAP to GAAP financial measures in our press release issued earlier today which is posted under the Investor Relations tab of our website, at oxfordinc.com. Please note that all financial results and outlook information discussed on this call, unless otherwise noted, are from continuing operations, and all per share amounts are on a diluted basis. As a reminder, the results from the Ben Sherman business are reflected as discontinued operations for all periods presented. Also, on April 19, 2016, the Company acquired Southern Tide. Please note that fiscal 2017 which ends February 3, 2018 is a 53-week year with the extra week included in the fourth quarter. And now I'd like to introduce today's call participants. With me today are Tom Chubb, Chairman and CEO; and Scott Grassmyer, CFO. Thank you for your attention. And I'd now like to turn the call over to Tom Chubb.
Tom Chubb: Good afternoon and thank you for joining us. We are proud of our solid year-over-year growth for sales and EPS in the third quarter. More importantly, we believe we are well positioned to take advantage of the emerging optimism in the consumer marketplace during this holiday season. The positive momentum that resulted in a 4% increase in comparable store sales in the third quarter gives us confidence that we will continue to drive growth in the fourth quarter. Our businesses have excellent plans centered on compelling product, and innovative marketing campaigns that will set us apart in this highly competitive and promotional holiday season. Before I dive into more detail on the third quarter results and our plans for a holiday, I’d like to take a few minutes to talk a bit more broadly about what we have accomplished at Oxford this fiscal year. I’ll walk you through the progress we've made on several key initiatives. Perhaps our most important initiative in 2017 was our focus on improving Tommy Bahama's operating performance and we're seeing real success. Great products supported by newly energized marketing campaigns have driven positive mid-single digit comps at Tommy Bahama in each of the first three quarters of 2017. Gross margin has expanded year-to-date as we focused on improving IMUs with cost reductions and selected price increases and have made improvements in how we clear goods. Our multipronged clearance strategy added very selective end-of-season markdowns in our own stores and improved the merchandising and product presentation in Tommy Bahama outlets. We have also focused on leveraging existing infrastructure to help manage SG&A. All this has had a positive impact to the bottom line with adjusted operating margin expansion of 100 basis points year-to-date. Another priority for fiscal 2017 across Oxford is to play to our strength in full priced e-commerce and mobile which is our fastest growing and most profitable channel of distribution. So far in 2017, 17% of consolidated sales have come from e-commerce up 50 basis points from last year. In 2017 we're making additional investments that will further our commitment to serve our customer when and where she wants to be served and allow her to reach us when and how she wants. Dovetailing with our digital strategy is the ongoing investment needed to ensure streamlined fulfillment processes and holistic inventory management. We believe that we're towards the front of the pack with our technical abilities in digital and omnichannel and viewed as our true competitive advantage for Oxford. Fortunately because we have experienced such great success in our e-commerce businesses, we recognized earlier than many in our sector that a cautious approach to store growth made sense and as a result do not believe we are currently over-doored. While we do believe that we have the opportunity for judicious store growth in the years to come as the right bricks-and-mortar concept in the right location remains an outstanding vehicle for delivering our brand message we have made adjustments to our investment strategy in 2017. This includes a more rigorous scrutiny of all upcoming renewals and a conservatives store opening cadence. Tommy Bahama has opened four new stores including a very successful retail restaurant location in Plano, Texas and closed five locations this year. Lilly Pulitzer currently has only 58 stores having added five new stores and acquired a dozen licensed signature stores this year. Lastly in fiscal 2017, we are focused on managing our exposure to department stores which currently represents 16% of our revenue down over 100 basis points from last year. While we recognize that department stores still provide an important gross margin contribution in each of our businesses and can still be a good vehicle for customer acquisition, we need to be careful to not let their struggles end up tarnishing the integrity of our brands. As the traditional department stores work to enhance their relevance by revising their business models, we will continue to put the integrity of our brands first by monitoring, managing and in some cases reducing our exposure to the department stores. So we've accomplished a lot so far in fiscal 2017. I’d like to take a moment and talk about our brands. The highlight for me of Tommy Bahama's third quarter was their particularly strong comps at 5%. As we look forward, it is important to remember that 75% of Tommy's fourth quarter business occurs in December and January, so we have quite a way to go. I mentioned a minute ago, Tommy Bahama's marketing which we believe is fueling their business this year. Last week Tommy moved away from more traditional holiday marketing and pivoted to a resort offering online and in the retail stores. They also sent a substantial catalog similar to the very successful spring 17 catalog. This holiday catalog recast Tommy Bahama's tagline Live the Island Life to the seasonally appropriate Give the Island Life. It includes a compelling offering of colorful resort apparel and accessories, get away gift shopping pages and reminders of the wonderful food and beverage component of the Tommy Bahama lifestyle. We believe this level of innovation for the holiday season will differentiate Tommy Bahama and entice our guests. Lilly Pulitzer's third quarter results as in the past are dominated by the impact of their semiannual flash clearance sale. This year in just three days, Lilly fans purchased over $24 million of merchandise at a very solid gross margin. But this year the flash sale also seemed to represent an inflection point for the Lilly business. Since the flash sale, Lilly's full price business has moved back into positive comp territory and the momentum continues. Lilly continues to energize their customers with fantastic marketing initiatives. After a successful collaboration with Starbucks and S'well Water Bottles this spring, Lilly rolled out limited additional S'well bottles on December 1 with three classic Lilly prints chosen earlier this year by Lilly customers. These bottles were sold out on the website in less than 30 minutes and flew off the shelves in our stores reminding us once again how enthusiastic the Lilly customer is about this brand. The holiday season is also full of fun products such as new [indiscernible] items, pretty holiday dresses, compelling gifts with purchase and a rich assortment of giftable items at accessible price points. All in all we believe Lilly will deliver very strong fourth quarter results. Both Southern Tied and Lanier Apparel had a very nice quarter as well with each generating year-over-year improvements in sales, gross margin and operating margin. We're particularly proud that all four of our operating groups had solid improvements in their adjusted third quarter results. In closing, we are seeing a marketplace that while improving remains very competitive and promotional. Oxford's portfolio of differentiated authentic brands by Tommy Bahama and Lilly Pulitzer represents lifestyles and a culture that consumers want to be a part of whether it is Tommy's call to Live the Island Life or Lilly's Palm Beach Resort Seek, we give the consumer the reason she needs to look beyond price and discover unique products that remind her of happy times and happy places. We are confident that our businesses powered by talented teams have tremendous opportunity for future growth. With that, I'll now turn the call over to Scott Grassmyer.
Scott Grassmyer: Thanks Tom. I'd like to walk you through our consolidated results from additional details for operating group and our guidance for the full year. Please refer to our press release issued earlier today for additional information. As Tom mentioned, we are very pleased with our third quarter results. Consolidated net sales increased 6% to $336 million. On an adjusted basis consolidated gross margin expanded 60 basis points to 53.7% and adjusted EPS went from a loss last year of $0.07 per share to earnings of $0.17 per share, an improvement in all operating groups in the quarter. We have estimated that we lost approximately $2 million of sales and $0.05 in earnings per share due to the interruptions caused by Hurricanes Harvey and Irma. However we also recognized some tax benefits in the quarter which basically offset the EPS impact of the hurricanes. Once again Tommy Bahama had a very good quarter. Our sales were down a bit in the quarter this was due to not anniversaring e-commerce flash sales from last year. Importantly, we saw nice sales increases in our full price direct consumer businesses driven by the third quarter in a row of mid single-digit comp increases. There was solid improvement in Tommy Bahama's operating results in the quarter. For the year, we still expect Tommy to grow the topline in the mid-single digits and expand operating margin above 100 basis points. Lilly Pulitzer sales increased 13% driven by the very successful end-of-season semiannual flash sale. Not only is this a great brand appropriate way to clear end-of-season merchandise, it also delivers a very healthy gross margin. For the year, we expect Lilly's sales to increase in the mid-single digits and adjusted operating margins to remain very healthy at around 20%. Sales of Lanier Apparel increased 23% in the third quarter and operating margin expanded 250 basis points. Much of this improvement was due to a shift in Tommy. For the year we expect mid-single-digit topline growth and operating margin in the mid-single digits. Southern Tide had a good year-over-year improvement on both the top and bottom-lines in the quarter. Sales increased 6% and gross margin expansion drove a 400 basis points improvement adjusted operating margin. Southern Tide in its first full year of operations with Oxford is on track to deliver revenue of approximately $40 million and adjusted operating margin in the low double digits. Our balance sheet remains strong. We continue to reduce inventory balances with a 7% year-over-year reduction at the end of the third quarter. We believe inventory levels in each of our operating groups are appropriate for planned sales. We continue to generate strong cash flow from operations and continue to invest in our brands and pay a dividend. In the last 12 months we have generated $131 million of cash flow from operations and reduced debt by $70 million. We ended the quarter with $72 million of borrowings and $205 million of unused availability under our revolving credit facility and we are well positioned to support our growth initiatives. I’ll now walk you through our outlook for the year. For the full fiscal 2017 year, adjusted earnings per share are expected to grow to between $3.55 and $3.70 compared to $3.30 per share last year. We expect net sales to grow between 1.08 billion to 1.095 billion compared to net sales of 1.023 billion last year. Our effective tax rate for fiscal 2017 is expected to be approximately 37% comparable to the fiscal 2016 rate and the interest expense for the full year is estimated to be approximately $3 million. Capital expenditures in fiscal 2017 including $26.4 million in the first nine months of fiscal 2017 are expected to be approximately $40 million. This is lower than our earlier projections as some of our projects have moved out to 2018. Our investments are primarily an information technology initiatives, new retail stores and restaurants, and investments to remodel and relocate existing retail stores. Finally, our Board of Directors has approved a cash dividend of $0.27 per share payable on February 2, 2018. We pay dividends every quarter since we became publicly owned in 1960. And Shannon, we’re now ready for questions.
Operator: [Operator Instructions] First go to Corinna Van Der Ghinst with Citi.
Corinna Van Der Ghinst: I was just hoping we could start with Lilly, it sounds like you're seeing some really nice improvement in the full price business in comps there. I know that the compares were a little bit tougher this quarter but I just wanted to clarify with the positive quarter-to-date comps. Does your guidance assume or return to positive comps for Lilly in the fourth quarter?
Tom Chubb: Yes, it does. And so what happened in the third quarter Cori is really that once we got past the flash sale which was very successful, the momentum that we had there really continued in our full price business. So August comps in Lilly were not positive but then in September, October and since then have been really pretty good. We've been very happy with what we've seen there. And I think there are some things that account for that. They very specifically have done some things to try to create more excitement and more buzz in the brand and sort of sprinkled [indiscernible] on a fairly regular basis to try to keep that excitement and momentum going in that and it's been working nicely for them which is good to see.
Corinna Van Der Ghinst: And just to that point I mean, I know you’ve been talking all year about some of the changes that needed to be made at Lilly with the opening price point items being reintroduced as holiday, is that kind of part of what’s driving the momentum and are you guys doing anything else kind of differently with regards to marketing or the assortment for holiday resort?
Tom Chubb: Well I think if you look at the holiday assortment there are a plethora of things that are available there under a $100 which make great gifting items and I think those are important, the S'well bottles themselves were an example of that at under $50 we got a lot of great jewelry items, some of them are more than $50 but there are a lot that are sort in that $38 range. I think the lowest priced item we have is an $8 embroidered patch which as you know is very on trend fashion wise and for a patch that sort of a premium priced patch, but still a great entry point for maybe a young person looking for a gift item to give to their friends. So we feel great about the product and the assortment. We've got in - then the holiday assortment not only have gift items but of course things like special occasion dresses where we think we've got a terrific assortment that’s really addressing the needs of our customer there in a great way and we supported that with a mailer that basically is all about occasion dressing during the holiday season. And then we got other marketing initiatives that we've done through the third quarter and into the fourth quarter all of which are combining to help drive the business.
Corinna Van Der Ghinst: And then lastly the Q3 gross margin expansion looks better than expected even though you have the flash sale and also the Tommy’s friends and family moving into the quarter. Are you still expecting the Q4 gross margin expansion to be significantly greater as you lap last year’s write-down on inventories and is there anything else that we should be thinking about in that line item as we go into fourth quarter?
Scott Grassmyer: Yes, we do expect fourth quarter - to have nice expansion of fourth quarter. The other thing in the third quarter here Tommy did not do their flash sales that they had gone the previous year so that also had some positive year-over-year impact. But we do expect solid improvement in gross margin for Q4 still.
Operator: Next question comes from Ed Yruma with KeyBanc.
Ed Yruma: I guess first nice to see kind of continued momentum within the Tommy Bahama business. Wondering if you could click down a little bit on some the drivers of strength; are there particular categories, is it women? And then I guess as it relates to that I know you've used the flipside promo fairly consistently for the past couple of years in light of the current strength should we expect that type of promo to continue?
Tom Chubb: Yes, so starting with the promo and the answer is yes, we are doing, will be doing the flipside. We think it is a great sort of less brand or more brand friendly way to engage the consumer and give them a little reward for spending more money with us. Hopefully getting some incremental dollars out of them and we definitely believe that it works and that's effective. So we will be doing that. Then with regard to product and what's been driving the business, first of all I do think there is a marketing element to it going back to the Live the Island Life book that we did in the spring. I think we've continued to kind of play off that now we're going to reinvigorate that with the Give the Island Life book that's hitting homes right now as we speak some of them are already in homes and the rest of them will be filtering in this week but we think that’s part of it. But then on the product side there are some great successes that we've had this year women's has actually been strong for us, it's been a success this year that has been driven particularly by swim which has always been a strength for us in women's. But we’ve just had a fantastic year in women's swim. And then we expanded that offering by adding some active wear type pieces within our swim world that we’re very excited about and that we think the guest is very excited about. Another big plus has been Big and Tall, we believe we serve the Big and Tall guest better than any other brand out there for us that's an online and wholesale business, it's a really nice business where I think serving the needs of an important part of the guest population and we’re being rewarded for it. And then the last thing I would point to but not least at all is the Baroque pant which I believe that we convinced you to buy a couple of pairs of maybe when we saw Yale in Las Vegas but the Baroque pant has been a - was a great success for us online earlier in the year and now is in stores in the wholesale accounts and it's really, really working well. Our people are excited about it, the guests are excited about it. I’m very excited about it and I know Doug Wood, CEO of Tommy is excited about it. I think it represents our opportunity to have a go to pant in Tommy Bahama in a way that we really haven't had in a number of years. We’ve had nice men's pants in Tommy but we haven't had that go to kind of pant and we think the Baroque can be and is that pant which is exciting to see.
Ed Yruma: No, it is a great pair of pants. I guess just a quick housekeeping question, could you give us little bit more understanding on the nature of the tax settlement and then I guess did you have any excess inventory that arose from store closures regarding the hurricane or any other expenses that we should expect that could fall into the fourth quarter? Thank you.
Scott Grassmyer: No, on the inventory no, the hurricane was - we lost some sales from it but there was a very little long-term interruption in stores and no inventory issues related about. On the tax that we reckoned is about $800,000 of tax benefits and it was a few different things. We had some trouble from Southern Tide returns that are pre-acquisition that made - that we got a benefit from. We also had an R&D credit related to some software expenditures. And then we also had one other offshore settlement favorably. So there were a few different items that hit in the quarter and they roughly a nickel share - so and the hurricane impact was roughly a nickel of share so they just happened to be pretty close offsetting each other.
Operator: Next question comes from Rick Patel with Needham.
Rick Patel: I had a question on department store exposure, so that 16% of sales and Tom to your point there is a lot of changes going on in that side of the market. Are you satisfied with this level of penetration or do you think it's likely to continue to be deemphasized as we think about the next year and are there any callouts by brand as we think about changes to that exposure?
Tom Chubb: No specific callouts by brand at this point but I think with department stores look we're pulling from the good people, we have a lot of friends there, it's good business for us and we like the margin contribution and the customer acquisition that we can get from it. But all that said as you know, lot of them are really struggling to sort of redefine the role and relevance in the marketplace these days. And we, our way of looking at it is that we want to do business where we can be mutually successful so it's good for us and good for them and where it's not doesn’t fall into that category then we’re going to back away from it. What I think that means is that the department store business is probably flat at best and more likely continues to decline gradually. I don't see anything catastrophic happening in the foreseeable future, but I do think that there's a reasonably good chance that it will continue to gradually decline.
Rick Patel: And I know there is still lot of unknowns out there as it relates to where our tax code is going but any preliminary thoughts on the prevention changes that are being loaded by our government, perhaps how much your tax rate could be impacted from this or any updated thoughts on potentially repatriating cash that you might have in some of your oversea subsidiary?
Tom Chubb: Yes so I'll make a general comment first we do think that what is on the table at the moment on the corporate side will be beneficial for the economy and over the longer-term that will be good for all of us. We believe and then as to the specifics of how it will impact us directly in terms of taxes paid, I'll let Scott comment on that.
Scott Grassmyer: Rick we obviously go down materially and I’m not going to cut as many as that number right now as there's a lot of moving pieces. Also the transition piece of off shore we don't think that's going to be a major negative to us for some companies might be in situations where that's a little bit more than negative. So we think it’s going to be overwhelming positive and we’re still wrestling through some of the details of it, but so everything is going to be overwhelming positive and have a significant favorable impact to our rate going forward.
Rick Patel: And if I could just squeeze a quick housekeeping one and I thought as I missed it but could you remind us of what the impact will be of your 53rd week to sales, margin and earnings and any lumpiness that we should be keeping in mind in terms of timing shift on the wholesale side?
Scott Grassmyer: On topline it could be close to $20 million in sales but it’s not kind of big bottom line impact as we allocate expenses on a weekly basis so that 53rd week that month will get five weeks worth of rent which was the other major expenses where some companies might handle that a little differently. So we think it will be pretty minor on the bottom line but also on topline. In the past obviously that week is a week where you write into initial spring shipments and that the last week of our year is always the week did they take it, good to know last week or they taken - first look at the next year hopefully we’re projecting to get a little bit more in that last week or last month of the year due to the extra week. But on the bottom line it’s not going to be a major impact.
Operator: Next question comes from Pamela Quintiliano with SunTrust.
Pamela Quintiliano: So Tom could you just talk about performance of the Coconut Point Marlin Bar and any plans to potentially open more of those and could you also just provide an update on what’s going on Hawaii in Asia and how performance has been there?
Tom Chubb: Yes, so on the Tommy Bahama Coconut Bar it continues to perform extremely well. It has exceeded our expectations and we’re very pleased with it and excited by it both in terms of what the food and beverage side has done and then the improvement and that was already a great store for us. But the improvement it’s driven in that store so we’re very excited about it. Landlords share our excitement for the Marlin Bar concept. The minor challenge is just that if you have seen at least pictures of that, it’s a configuration that doesn't fit within the sort of standard configuration of - typical lifestyle center or mall and so it’s really working with the landlords to figure out where that fits in their venues. And what the lease deal looks like but we think we’ll get there. I don't have anything to announce yet on that front, but we do think that we will have opportunities to open additional Marlin Bar concept stores and restaurants. On the Asia business I think we're tracking right on track to achieve our plan for the year and nothing is really change there, Pam as you know for the last several years we’ve focused on chopping away at the loss and reducing it significantly every year and we will do that again this year. Then growing Australia which is a good business for us and then in the Japanese market really looking for a solution that allows us to maintain our presence there while getting out of the ongoing operating losses and as soon as we know anything more on that we will report it. And then your last question was Hawaii - Hawaii is great. Hawaii is on fire right now. Business is good for us there, the tourism business is up. We were talking with Doug earlier today and lots of great stats on average air ticket prices have increased a lot which is great because it means there's a lot of demand, hotel bookings are full we’re seeing it in our restaurants and stores there. So we're happy with what we're seeing in Hawaii.
Pamela Quintiliano: And then just one other question Tommy. With the current environment in the mall and how well your restaurant retail locations do, I know you've always been considered a desirable tenant. But are you having more landlords knocking on your door and how are the concessions that you're getting?
Tom Chubb: Well I think that - we are definitely a highly desirable tenant and I think again as I mentioned a minute ago, this Marlin Bar concept is very, very enticing for landlords and they all want a piece of that action. It's really just working through with them in figuring out what the right locations need to look like and what the rent deals need to look like. And again we feel pretty confident that we will have opportunities to do more Marlin Bars and that they will be successful we just don’t have anything to announce quite yet.
Pamela Quintiliano: How about with the traditional - the restaurant retail locations, is there any opportunity on that and two I know in the past you've had some landlords come to you an offer to do the buildouts and all that how are you seeing that and how do you think about the restaurant retail locations long-term?
Tom Chubb: Yes, I think the restaurant retail concept we have this one that opened in Plano four or five months ago that's it just terrific and I guess you were there Pam…
Pamela Quintiliano: Yes, it was wonderful.
Tom Chubb: Yes, I mean that’s the future of what retail is going to look like I think venues like that that are not so much department store anchored but are really built around food and beverage and unique interesting retail concepts and we’re perfect for that type of location.
Pamela Quintiliano: And then if I could just ask one quick question sorry if I miss this, store traffic for Tommy and Lilly in the quarter?
Tom Chubb: Store traffic continues to be down a bit. Our conversion rates generally are rising and I think that that is a reflection of what's going on in the world these days that the guest maybe visiting a little less often but when they do is that they’re probably incrementally more ready to purchase than they would been in years past. So it's an evolving situation, but we’re generating positive comps and stores notwithstanding the fact that traffic is still drifting down. It does seem like maybe it's starting to - the rate have decreased is starting to go down a bit its decreasing at a slower rate which is good to see.
Pamela Quintiliano: And with the catalog coming in the mail box that should be nice [indiscernible] because that was good for the seasons they got?
Tom Chubb: Yes, we definitely saw that in spring with the book that I know you’ve seen and you've heard those stories about guest coming in with the page that has the layout of sort of how to pack for your weekend getaway and they come in and they say I want this meaning all of it. We love seeing that kind of stuff and we think we’re going to get a similar reaction with this Give the Island Live book which obviously takes a slightly more holidays spend to some gifting ideas in there as well as getaway ideas. And I mentioned that before but I think it's worth reiterating that as of I guess last week really we have pivoted to resolve in our assortment and what we’re offering and what we’ve realized is that for Tommy Bahama really playing to what they’re going to be doing and where they’re going after the holiday is really a competitive advantage for us in a way that we can be differentiated in the marketplace. And really stand out and shine by serving a very real need of our customer population.
Operator: Next question comes from Andrew Burns with D.A. Davidson.
Andrew Burns: It's been a lot of time working on improving the merchandising at the Tommy outlets and it sounds like it's resonating. Could you give us some update on how they're performing now versus what you think they can do is there's still a lot of runway for further productivity improvements there and what would you need to execute on that? Thanks.
Tom Chubb: Well, I’ll let Scott maybe give you a couple of directionally at least indicators on some of the key stats but I do think that - they will continue to improve I believe. That said I don't think we’re looking for rapid growth in the outlet world. So as you know Andrew for us outlets have always been primarily a vehicle for clearing excess inventory which is very, very different than the majority of the outlet mall that's comprised of made for outlet product. So for us it’s a different when we look at clearing excess inventory what we want to do is sort of balance protecting the integrity of the brand with maximizing the recovery on the excess inventory so outlets play a part in that, but there are other channels that we can use to help accomplish some of that same purpose including doing some limited end-of-season markdowns in our own store which gives us less shift to other channels. And then some selective use of some of the off price third-party yes, as well. And then Scott you want to give them some of the directional.
Scott Grassmyer: Yes I think the main thing is in the gross margin. Even though outlet traffic is down our sales are holding pretty well maybe down a little bit on a comp basis but our gross margins are significantly higher. We have closed three outlets so we have less outlets then we did but the ones we have are certainly performing better on a gross margin line and on a bottom line. So we think we made some really good progress and as Tom said I think there is some more progress to be made but we all are pleased with the actions we took and it's starting to show up in the numbers.
Tom Chubb: And then the inventories would be up, turns would be up a pretty significantly as well because we got a lot less inventory jammed in those outlets which is good on multiple fronts.
Operator: [Operator Instructions] We next move to Kristina Westura with Telsey Advisory Group.
Kristina Westura: Just I guess two things, I was just wondering if you could provide some more color around the e-commerce performance across the businesses in the third quarter. And then in conjunction with that Tom I think you talked about additional investments that are going to be made. Can you elaborate more on what those might be?
Tom Chubb: Yes, so with regard to third quarter the comp was much stronger in e-commerce than in stores and that’s been the case throughout the year and really - really the last five or six years and I think we’ll continue to be the case in the future. So while in stores we’re happy to have a modest comp at this point because of what's going on with traffic, we think modest at least positive comp is really a pretty good thing and e-com we think we can be up there in double digits and for the most part we've been achieving that. So that’s good and the investments the biggest thing is really around trying to maximize the visibility and usability of our inventory across the network to satisfy demand no matter where it comes from. So if somebody comes into the Fifth Avenue store in New York right near where you are and ask for a shirt in a size large a particular shirt and we won’t be able to serve that demand with - if we got that shirt anywhere in the system we want to be able to get it to that customer quickly and efficiently and there's a lot that goes into that but that’s a major focus of the investments. A second major focus is just around better planning and merchandising and allocation a lot of that we’re doing on a semi-manual basis at this point largely through XL and we’d like to have that more automated they’re great tools out there and we’re in the process of putting those in place. Scott leaving anything else that…
Scott Grassmyer: And then just having the ability to have multiple DCs and service on guest, you know quicker you have a DCs closer, one on east coast, one on west and we’re working on that also.
Kristina Westura: And just maybe one other one just maybe any update around Southern Tide how is the spring order book looking?
Tom Chubb: Spring order books good at Southern Tide it’s a nice year-over-year increase. They've made good progress this year. They're certainly not immune from some of the issues that are going on in the marketplace in general, but they by the end of the year will have posted nice growth and as we go into 2018 we don't want to give too much get into the guidance but we do expect them to be – have another year of growth in 2018 and then I think one of the most positive developments in this year has been the starting to ramp up the license store business within Southern Tide. So at present we have seven open when we bought them two years ago they had one. We’re now up to seven. We’re in a lot of discussions and have a lot of opportunities for additional license stores and we think over the next couple of years that will be a very valuable and good growth channel for them.
Operator: And with no further questions in queue, I turn the conference back over to Mr. Tom Chubb for closing remarks.
Tom Chubb: Thank you again for your time this afternoon. We very much appreciate your interest and hope you have a very happy holiday season and a healthy and prosperous 2018.
Operator: Thank you. Ladies and gentlemen, that does conclude today's conference. We thank you for your participation. And you may now disconnect.